Operator: Good afternoon, ladies and gentlemen, and welcome to the TriplePoint Venture Growth BDC Corporation Second Quarter of 2024 Earnings Conference Call. At this time, all lines have been placed in a listen-only mode. After the speakers' prepared remarks, there will be an opportunity to ask questions and instructions will follow at that time. This conference is being recorded and a replay of the call will be available in an audio webcast on the TriplePoint Venture Growth website. Company management is pleased to share with you the company's results for the second quarter of 2024. Today, representing the company is Jim Labe, Chief Executive Officer and Chairman of the Board; Sajal Srivastava, President and Chief Investment Officer; and Chris Mathieu, Chief Financial Officer. Before I turn the call over to Mr. Labe, I'd like to direct your attention to the customary safe harbor disclosure in the company's press release regarding forward-looking statements, and remind you that during this call, management will make certain statements that relate to future events or the company's future performance or financial condition, which are considered forward-looking statements under federal securities law. You are asked to refer to the company's most recent filings with the Securities and Exchange Commission for important factors that could cause actual results to differ materially from these statements. The company does not undertake any obligation to update any forward-looking statements or projections unless required by law. Investors are cautioned not to place undue reliance on any forward-looking statements made during the call, which reflect management's opinions only as of today. To obtain copies of our latest SEC filings, please visit the company's website at www.tpvg.com. Now, I'd like to turn the conference over to Mr. Labe.
Jim Labe: Thank you, and good afternoon, everyone, and welcome to TPVG's second quarter earnings call. During the second quarter, our focus continued to remain on navigating through what the NVCA labels as a generational market shift in the venture capital markets. Given the continued volatility and challenges in the venture capital market, as well as the public markets for technology companies, we stayed on our path of selectively increasing our investment activity to capture growing investment opportunities coming to market, proactively managing our existing investment portfolio, maintaining strong liquidity and taking the steps that we believe will enable us to position TPVG for the future. While we're seeing a modest increase in investment activity, we do not believe this marks an inflection point. The imbalance continues between the levels of venture capital investment activity and the continuing limited exit opportunities through IPOs, a merger acquisitions for venture capital-backed private technology companies. Private company valuations have not fully reset and we expect the valuation overhang in venture growth stage companies to continue to be worked through over the coming quarters. VCs continue to be patient with their investment activity, balancing the need to preserve their dry powder and also growing mindful of the need to generate distributions for the limited partner investors through exit activity. While all at the same time taking advantage of new investment opportunities they are seeing at investor-friendly terms in today's market. Turning to the market for debt financing, the demand for venture lending continues, many from companies who have raised capital in the current market environment or a meaningful existing cash runway and are looking to complement that capital with debt financing given their continued operational success. Combining this continued increase in demand and our previously stated expectation of an increased new investment activity in 2024, signed term sheets for venture growth stage companies at TriplePoint Capital increased 44% over the previous quarter and new debt commitments by 420% and fundings by 186% at TPVG. In terms of the current portfolio, our team continues to monitor and maintain close contact with all of our portfolio companies and their venture investors, and we remain heads down managing through existing credit situations. At the same time, we're encouraged by the strengthening operating performance and improved fundraising activity from a number of our portfolio companies, which are also across several industry sectors. An aggregate of almost $1 billion was raised by our debt portfolio companies in the first half of this year. That's more than double that of the previous year. And it includes -- excuse me, excludes Metropolis, which in itself raised $1 billion in Q2 as part of its acquisition of SP Plus. This increased fundraising activity we are seeing continues across multiple sectors including software, fintech, robotics, cybersecurity and others that we have been talking about and citing in these calls. Touching on our warrant and equity positions in our portfolio, we have outstanding warrant positions in 94 portfolio companies and equity positions in 46. We believe these positions bode well for our ability to improve NAV over the long term. I'm also pleased to report that we've made notable progress over the past year-and-a-half in reducing our unfunded commitments, boosting our total liquidity and reducing our leverage ratio to fall within our target range. Unfunded commitments went from a high of $205 million one year ago to $71 million as of the second quarter. And more importantly, we reduced our gross leverage ratio from as high as 1.76x at the end of last year to 1.15x as of quarter's end. We also announced earlier today the renewal of our revolving credit facility, which provides us a meaningful source of capital and financial flexibility for us in our go-forward plans. These efforts have provided us with substantial liquidity and will play key roles in positioning TPVG here in the short term and over the long term. The Board took another step on this path forward by reducing our regular distribution this quarter to $0.30 per share. This was not an easy decision and reflects a number of considerations including our higher-than-expected repayment and prepayment activity during the first quarter, and once again, our higher-than-expected repayment and prepayments last quarter, but also given the impact of reduced fundings, measured investment allocations, the lower level of funding activity relative to prior years, again reducing our leverage to our target leverage range and factoring in what we think will be expected federal interest rate cuts. The dividend is now much better aligned with the earnings power of our portfolio, our core portfolio yield and other targeted leverage, while still providing sizable distributions to shareholders. Complementing these efforts is our continued progress on diversifying the portfolio, including the industry sector and geographic rotation we have been talking about during the last few quarters. Our focus remains to be investing in companies operating in what we believe are attractive investment sectors and ones that have recently raised capital, have ample cash runways, have backing from our select venture investors, have prudent management teams and whose business models have attractive unit economics and high retention rates. We'll also continue to evaluate hold sizes, debt to equity ratios, deal structures and other key metrics. We're encouraged by the progress to-date and the recent investments we've made which continue to reflect these goals and parameters. Further, we're evaluating the potential for broadened investment strategies for TPVG, particularly given our sponsor TriplePoint Capital, a multibillion-dollar platform-wide venture lending business, and potential increased ways in which TPVG could benefit. TriplePoint Capital manages multiple vehicles and has been underwriting venture loans for almost 20 years. To-date having committed more than $13 billion to more than a 1,000 venture-backed companies during that period. As a leader in the venture lending market with an exceptional brand name and reputation, TriplePoint Capital continues to grow and capitalize on investment opportunities in today's market, including actively expanding its bench and ongoing increases in originations and investment staffing nationwide. We believe the sum of all these efforts positions TPVG well for when the venture capital markets recover and believe it could result in tangible benefits to our stakeholders well -- as well as over the long term. Finally, I'd like to take a minute to thank Chris Mathieu for his efforts over the past five years, not only at TPVG, but also at our TriplePoint Capital platform. We wish him the best in his upcoming retirement and appreciate not only his dedication, but the friendship over the many years. As we continue with our search for CFO, we would like to welcome Matt Galiani, whom we announced earlier this week to serve as our Interim CFO. Matt takes over the reins this Friday and joined the company back in 2019. And he served as the company's Controller since December 2022. With that, I'll now turn the call over to Sajal to cover our activity and outlook in more detail.
Sajal Srivastava: Thank you, Jim, and good afternoon. Investment pipeline activity increased for the fourth consecutive quarter as TriplePoint Capital signed $188 million of term sheet with venture growth stage companies compared to $130 million in Q1, reflecting continued increases in originations by our investment team, referrals from our select venture capital funds and demand from high-quality companies seeking debt financing. Although our investment pipeline activity is increasing, TriplePoint Capital and TPVG continue to be very measured in our approach to new originations in light of market conditions. With regards to new investment allocation to TPVG during the second quarter, in light of our progress of reducing leverage and mindful of our objectives for portfolio diversification, TriplePoint Capital allocated $52 million in new commitments to five companies to TPVG, including two new portfolio companies, our highest commitment amount over the past six quarters. Commitments to new portfolio companies during Q2 included Affinity, a software-based relationship intelligence platform built to expand and involve traditional CRM backed by Menlo Ventures, Careventures and other investors, and Cresta Intelligence, a software company which leverages artificial intelligence to help sales and service agents improve their quality of their customer service backed by Sequoia Capital, Greylock Partners, Andreessen Horowitz and other investors. During the quarter, we also made follow-on commitments to two recent portfolio companies, as well as refinancing existing portfolio company in conjunction with an [upsize] (ph). Thus far in Q3, TPVG has closed a total of $11 million of new commitments to one new portfolio company in the software industry and one existing portfolio company. During the quarter, TPVG funded $38.7 million in debt investments to five portfolio companies which is up from $13.5 million in debt investments to three portfolio companies in Q1 and is our highest funding amount over the past five quarters. We have funded $52.2 million year-to-date and $89.3 million over the past 12 months, which supports our efforts to increase newer portfolio of vintages. The investments funded this quarter carried a weighted average annualized portfolio of 15.5% at origination, up from 14.3% in Q1. Our quarterly gross funding target continues to be in the $25 million to $50 million range. As a reminder, new fundings typically occur at the end of the quarter and don't materially contribute to income in the quarter in which they fund. During Q2, we had $51 million of loan prepayments due primarily to large equity capital raises and acquisitions, up from $31 million of loan prepayments in Q1, representing $82 million of prepayments to-date and $153 million over the past 12 months. Prepayment-related income this quarter contribute to an overall weighted average portfolio of 15.8%, in line with last quarter's portfolio. Excluding prepayments, core portfolio was 39%, down from 14.7% in Q1. During Q2, we had $28 million of scheduled principal repayments and $15 million of proceeds from the disposition of loans for a total of $43 million, up from $7 million of scheduled principal repayments and $1 million of proceeds from the disposition of loans for a total of $8 million in Q1. Year-to-date, we've had $51 million in total scheduled principal repayments and proceeds from the dispositions of loans and $110 million over the past 12 months. So, in summary, over the past 12 months, we've had over $260 million of cash received from prepays, principal repayments and disposition of loans, and in light of market conditions over that same time period, have had investment fundings of only $89 million, contributing to net portfolio contraction of approximately $170 million. As we look to the rest of this year, given how the portfolio has contracted, we expect the pace of prepay and amortization to slow down over the remainder of 2024, but do expect the pace of principal repayments to increase in 2025 given contractual amortization requirements. With regards to fundraising activity, nine portfolio companies with debt outstanding as of quarter's end raised $442 million during the quarter compared with eight portfolio companies with debt outstanding raising $584 million during Q1, five portfolio companies raising $157 million in Q4 and three portfolio companies raising $47 million in Q3. Year-to-date, 16 portfolio companies with debt outstanding have raised over $1 billion of capital compared to 14 portfolio companies raising [$390 million] (ph) over the same period last year. As Jim mentioned, we continue to see capital raising activity within our portfolio picking up and continue to have several portfolio companies either in active fundraising discussions or expecting to launch a fundraising process shortly. Last week, Flo Health, a consumer-focused portfolio company with $25 million outstanding, announced raising over $200 million at $1 billion valuation from General Atlantic. We believe this fundraising activity should strengthen the credit quality for these companies and bodes well for the value of our warrant and equity investments. As of June 30th, we held warrants in 94 companies and equity investments in 46 companies with a total fair value of $98 million, up from $78 million last quarter. Our warrant and equity portfolio experienced a $12.8 million net unrealized gain in fair value or $0.33 per share for the quarter, primarily driven by an increase in the fair value of Revolut based on its exceptional financial performance as disclosed in its recently filed financial statements and the news that it obtained a UK banking license both of which have positive implications for its continued growth and profitability. We believe there is the potential for a positive impact to net asset value from not only Revolut, but other companies currently in our warrant and equity portfolio, particularly as market conditions improve over the long term. During the quarter, we sold our publicly held shares in Hims & Hers resulting in a realized gain of $1.8 million on our warrant and equity investments, representing an over 3 times multiple on our invested capital. In other portfolio activity during the quarter, Mynd Management was acquired by RoofStock and our loans were paid off in full and our warrants were assumed. Existing credit watch list companies, Outdoor Voices and TFG completed their acquisitions as well. These two companies had previously been marked down by $13 million and we recognized an additional $800,000 loss from these events. During the quarter, one portfolio company with a principal balance of $25 million was upgraded from category 2 to category 1, one portfolio company with a principal balance of $4.7 million was downgraded from category 1 to category 2, and one portfolio company with a principal balance of $13 million was downgraded from category 2 to 3 primarily due to cash runway for financing events underway. In addition, Good Eggs, which has debt with a fair value of approximately $6.3 million, was downgraded from category 2 to category 4 during Q2 and announced yesterday its sale to GrubMarket. Our recovery is expected to be consistent with our mark as of Q2 and the company will be removed from our watch list in Q3. Mind Candy, with a fair value of $16 million, was downgraded from category 3 to category 4, reflecting year-to-date performance and other near-term challenges for the company, including additional maturity date extensions of our loans. Despite being one of TPVG's oldest investments, Mind Candy continues to receive support from its equity investors as it builds and grows its Moshi Kids app. While our total percentage of watch list investments was relatively flat this quarter, a number of these companies are in the process of completing equity financing or strategic events that are underway as well as improving operational performance, which if completed or achieved, could result in improved credit outlooks. As we look to developments not only over the past six months, but also looking forward over the next one to two quarters, our e-commerce and retail-focused companies continue to face challenges. They generally have made the hard decisions to pull back on growth, cut burn and focus on achieving profitability as soon as possible as they come to market for follow-on financing or strategic processes, including M&A to enable them to continue the journey, reception continues to be chilly as investors and inquirers generally remain on the sidelines, and these companies, their investors, and in many cases, we as lender must all decide if they continue to wait out the market or transact at whatever price the market will clear despite the progress they've made. Our teams continue to track these companies as well as other watch list situations. As we take a step back and assess not only market conditions and our recent performance, but also our outlook for the market, our playbook continues to be focused on building a strong foundation for TPVG. We've reduced our net leverage and have access to substantial liquidity that we intend to deploy in a measured fashion to companies in attractive sectors to further diversify portfolio. Our team is continuing to focus on bringing credit situations to a close or positioning companies for the longer term when market conditions are better. We believe when our market conditions improve, our warrant and equity portfolio will have a positive impact to our net asset value. We are also valuing opportunities to broaden TPVG's investment strategy, as well as its overall size and scale in complementary ways. And finally, we are aligning expectations, including the decision to reduce our distribution, to be more consistent with our current portfolio size and earnings power without creating pressure to deploy assets and with the potential to generate excess earnings to stabilize and grow NAV. In summary, we have a plan and I'm optimistic for our future. And with that, I will now turn the call over to Chris.
Chris Mathieu: Thank you, Sajal, and hello, everyone. For the second quarter, total investment income was $27.1 million and a portfolio yield of 15.8% as compared to $35 million or a portfolio yield of 14.7% for the prior-year period. The decrease in total investment income was primarily due to a lower weighted average principal amount outstanding on our income-bearing debt investment portfolio. For the second quarter, total operating expenses were $14.5 million as compared to $16.3 million for the prior-year period. These expenses consisted of $8.7 million of interest expense, which included $1.8 million or $0.05 per share of a one-time fee related to the minimum utilization clause on our credit facility; $3.8 million of base management fees; and $2 million of general and administrative expenses. There were no incentive fees this quarter. For the second quarter, net investment income totaled $12.6 million or $0.33 per share compared to $18.8 million or $0.53 per share for the prior-year period. During the second quarter, the company recognized net realized losses on investments of $18.8 million, consisting primarily of $20.2 million of net realized losses on the investment portfolio from the write off and restructuring of investments and partially offset by $1.3 million of net warrant and equity gains from the sale and disposition of investments. Net change in unrealized gains on the investment portfolio for the second quarter was $14.9 million, consisting of $12.8 million of net unrealized gains on the warrant and equity portfolio and $10.9 million of net unrealized gains from the reversal of previously recorded unrealized losses from investments realized during the period, offset by $8.8 million of net unrealized losses on the existing debt investment portfolio. As of quarter-end, net asset value, or NAV, was $353 million or $8.83 per share compared to $346.3 million or $9.21 per share as of year-end. The company declared a regular quarterly distribution of $0.30 per share with a record date of September 16th to be paid on September 30. As of June 30, the company had estimated undistributed income or spillover income of $39.3 million or $0.98 per share. Now just an update on unfunded investment commitments, overall liquidity and balance sheet leverage. We successfully reduced our unfunded commitments from $118 million at year-end to $71 million as of June 30. Of the $71 million of unfunded commitments, $5 million will expire this year in 2024 and $66 million will expire during 2025. We are pleased to share that subsequent to the end of the quarter, the company fully renewed its revolving credit facility. The company elected to reduce total commitments under the facility to $300 million to align better with the company's anticipated utilization while maintaining an according feature that allows the company to increase the size of the credit facility in the future up to $300 million under certain circumstances. After giving effect to renewal, the company had total liquidity of $340 million, consisting of cash of $50 million and available capacity on new revolver renewal of $290 million. We continue to maintain a diversified capital structure. As of quarter-end, a total of $405 million of debt was outstanding, consisting of $395 million of fixed rate investment-grade term notes and $10 million outstanding on our credit facility, which currently has a $300 million aggregate commitment. Given the $97 million in liquidity events from portfolio this quarter and $18 million in proceeds from the ATM program, we paid down our credit facility and continued to improve our leverage levels during the quarter as we ended the quarter with a leverage ratio of 1.15 times. Given that we have successfully renewed the revolving credit facility, we are comfortable with our current leverage sources and may look at additional sources should they be presented to us. Recall, we have three different maturities of term notes. The first maturity is set to occur early next year. Given the very favorable rates on the existing term note, we do not currently expect to prepay or refinance these amounts until near their maturity dates. So, this completes our prepared remarks today. And so operator, could you please open the line for questions at this time?
Operator: [Operator Instructions] At this time, we will take our first question, which will come from Crispin Love with Piper Sandler. Please go ahead.
Crispin Love: Thanks, and good afternoon everyone. Just starting off, you reset the dividend at $0.30, net investment income here decreased to about $0.33, I'm curious if you can discuss your outlook for net investment income over the near term, especially with rate cuts coming and your portfolio sitting at around $715 million range at quarter-end, and when you think you can get back to an area where you're growing the portfolio again?
Chris Mathieu: Yeah. So Crispin, I'll take that. So, we have reset the dividend based on our current expectation of the strength of the existing portfolio and maintaining our target leverage ratio, which is where we are sitting now. We've also considered the impact of some near-term Fed rate changes that are expected to come in the near future, as well as looking at the first half of 2025. Some of the other things we're also thinking about are some of the variables we had this quarter. Management fees tend to be quite flat. So, we've assumed a pretty flat management fee. No incentive fee is expected to be incurred for the rest of this year and for at least the early part of 2025. Admin fees and G&A are pretty well baked and consistent quarter-to-quarter. So, all that assumed, we assume a kind of a consistent portfolio size with the leverage we have to the extent -- Sajal, referred to NAV appreciation, NAV appreciation would result in additional ability to grow the portfolio. So, I think that covers the question, I think.
Crispin Love: Great. Thanks, Chris. That's all helpful. And then, just in the last week or so, we've seen plenty of volatility in broader markets, credit spreads have widened. There have been kind of more fears of a potential recession. So, can you discuss a little bit how you feel about your current credits that are performing as well as kind of new credits you're looking at? It seems like you're taking a cautious approach here. But just curious if anything has changed in your outlook recently? Or is it pretty stable? Or just kind of has anything gotten worse? Just curious in the current environment and the volatility that we've seen more recently.
Sajal Srivastava: Yeah. Crispin, I'll take it. Our credit risk scores obviously reflect our current view on our existing obligors and based on market conditions. And so, I think our perspective as we look to the most major impact to our sector and our industry is venture capital fundraising, venture capital investment activity. And I think Jim talked about it, essentially flat Q2, Q1, but still up from last year. So, I think we would like to see that activity increase. I don't think the current -- this week's volatility necessarily impacts the private market investment activity as long as the volatility is short. I still think there is that more fundamental mismatch that Jim talked about, about regarding public valuation multiples and private valuation multiples, and we still need that to clear that imbalance. And so, I think it will take a few more quarters for that to occur, investment activity to improve and exit activity to improve as well, which are all beneficial for not only new investment opportunities but our existing portfolio companies.
Crispin Love: Great. Thank you, Sajal, and appreciate you both taking my questions.
Operator: And our next question will come from Finian O'Shea with Wells Fargo. Please go ahead.
Finian O'Shea: Hey, everyone. Good afternoon. A follow-up on earnings. Chris, can you give us after deleveraging, which has been going on for few quarters, what would like the exit rate be of NOI? You also said the portfolio and leverage would be stable from here. So, where would earnings, say, be at next quarter all else equal?
Chris Mathieu: Yeah. So, without giving you specific numbers, certainly, what we did was considered the existing portfolio size and steady state. So, we have hit our leverage target. I know we worked towards that over the last six to nine months. And so, we're at our targets now. So, it's really more about turning the portfolio and building it from there. So, I think you can build your models resetting that portfolio size to where we are today and then some of the comments I made about some of the P&L expense and items there should help you drive your models.
Finian O'Shea: Okay. So, on the level of the dividend, it sounds like earnings power is revisited given the greater-than-anticipated repays getting you to sort of your destination. You also talked about the base rate curve, but your payout yield, I think, is nearly 14%, and a base rate curve normalizing, would probably have you a bit below -- that's still much higher than you earned historically. So, is there a sort of -- is there another bridge or lever from here assuming as well normal incentive fees and interest costs? Thanks.
Jim Labe: Yeah. Well, I'll grab that one. But I'd say BDC, we think it's pretty important and have distributions to our shareholders, and myself, Chris and Sajal are in that mix, and not very in a significant way. But, hey, you've got to look at the $97 million of liquidity events that we had last quarter. We have been getting back in our targeted leverage range and then lower core portfolio yield. I mean, it's all lower earnings power. So I guess, you could factor in the Fed rate cuts that we may expect that Chris was talking about, and it just boils down to, it's not an easy decision here, Fin, but it's the right decision and it realigns the dividend with the size and the yield of this portfolio. But still providing some sizable distributions to the shareholders.
Finian O'Shea: Okay, fair enough. Thank you. I'll hop back in the queue.
Operator: And our next question will come from Doug Harter with UBS. Please go ahead.
Doug Harter: Thanks. Can you talk about your outlook for portfolio yield, both kind of the base yield, but also kind of as you think about repayments as well in there?
Sajal Srivastava: Yeah, Doug. Sajal, I'll take it. So, I believe, as we reported today, core portfolio without the benefit of prepayment activity, 13.9%. And so, I think as Chris -- sorry, we're getting a little background noise. 60% of our book is floating rate, 40% is fixed rate. So, as we -- and again, we set floors on base rate indices, depending on when the assets are originated. So, we have the lowest prime rate floor we have is 3.25%, but obviously going to as high as where the current prime rate is on our more recent loan book. So, I would say our perspective is that, generally, this 13.9% is a good starting point and then factor in the fact that, again, as the Fed makes changes and reduces rates, you'll see not on a one-for-one basis, but you'll see the impact of that. Yes, obviously, we're onboarding new investments at higher rates, but we have to factor in again the balance of the portfolio. And last point is there is a chart in our Q, obviously, that shows the impact of base rate changes. So, I think you can actually get some more specific information.
Doug Harter: Great. Thank you, Sajal.
Operator: And our next question will come from Christopher Nolan with Ladenburg Thalmann. Please go ahead.
Christopher Nolan: Hey, guys. To pick up on Fin's discussion, and I don't mean to beat a horse here, but did you cut the dividend enough? Because if you look at as a percentage of NAV, it's close to 14%.
Chris Mathieu: Yeah. So, we think we have. We think that based on the modeling we've done and the variance of the revenue that this portfolio generates, we think that we're in the right level. I think the one thing that I forgot to mention to Fin was one of the variables now that we're at target leverage is the prepayment rate and the vintage of those prepayments. I think we've talked in the past that earlier prepayments generate more income to us. So that will be one of the variables that you'll have to think about over the coming quarters. But otherwise, we think we have a good handle on the earnings power of the portfolio and some of the variables beyond just the kind of top-line revenue.
Christopher Nolan: Okay. And Chris, on the -- shares are now trading below book. Should we assume that the ATM will not be utilized when the share price...
Chris Mathieu: Yeah, that's a fair question. So, we do not have and have never sought the vote to have below share issuance. And so, ATM is at the market assuming that we trade above, including the -- any load that we would pay. So yes, that's correct. If it's below NAV, we're not issuing.
Christopher Nolan: Great. And my final question is, given that you guys are sort of in a portfolio reset mode to a certain degree, what areas -- what industries are you liking and which areas are you not liking in terms of looking at prospective investments?
Jim Labe: Yeah. I'd say we pretty much are following what the investment categories and favorable sectors are of the select venture investors that we work with. So probably no surprise. And here and there, we've mentioned some of these. But AI for sure, and that goes -- there's a lot of ways of defining that. But cybersecurity comes to mind. There's a bunch of health tech space and government technology. We love recurring software companies, enterprise software. Interesting enough, robotics, and actually semiconductors is making its way back into the mix of new investment sectors. I'd throw in a little bit vertical software, some environmental sustainability technologies, and space and GovTech, as folks now call it. I think we are deemphasizing the more consumer-focused plays out there and there's less of them.
Christopher Nolan: Great. And finally, Chris, I hope, wish you well in your retirement, and I always appreciate working with you and I appreciate your help and your patience. And okay, that's it for me guys. Thank you.
Chris Mathieu: Thanks for the kind words.
Operator: And this will conclude our question-and-answer session. I'd like to turn the conference back over to Mr. Jim Labe for any closing remarks.
Jim Labe: As always, I'd like to thank everyone for listening and also participating in today's call. Excuse me. We look forward to updating and talking with you all again next quarter. Thanks again, and have a nice day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You can now disconnect your lines.